Operator: [Call Starts Abruptly] Today's call includes prepared remarks from the company followed by a question-and-answer session. Joining us today from B. Riley are Bryant Riley, Chairman, Co-Founder and Co-CEO; Tom Kelleher, Co-Founder and Co-CEO; and Phillip Ahn, CFO and COO. After management's remarks, we will open the line for questions. [Operator Instructions] As a reminder, this call is being recorded. An audio replay will be available on the company's Investor Relations website later today. And before we conclude today's call, I will provide the necessary cautions regarding forward-looking statements. Now I will turn the call over to Mr. Bryant Riley. Mr. Riley, you may proceed.
Bryant Riley : Welcome, and thanks for joining our call this afternoon. Throughout 2022, we continue to execute our strategy amid a tough environment with markets taking back the investment gains we saw in 2021, contributing to a net loss of $168 million for the year. Despite the marks in our investment portfolio, we delivered operating revenues of $1.3 billion in 2022, which is close to where we were at the end of 2021 during the record year that produced operating revenues of $1.4 billion. It is important to put this into perspective. The income and losses over the last 2 years were largely influenced by our investment portfolio. And over the course of 2021 and 2022, our investment book is effectively flat. During that period, we made approximately $10 per basic share and generated operating EBITDA of over $780 million. Additionally, during that time, we continue to diversify our business and implement a strategy we began 5 years ago, which is to invest our excess episodic cash flows into recurring operating businesses that will generate strong cash flows even when our episodic businesses are slow. Our operating performance in 2022 highlights the benefits of this strategy. To highlight this point further, consider that our investment banking and institutional brokerage business represented roughly 60% of our operating EBITDA in 2021 versus about 10% in 2022. During that same period, overall operating EBITDA declined by less than 20%. Since our inception as a sub-$50 million market cap publicly traded company in 2014, we have delivered in excess of $21 per share or over $570 million in common stock dividends to our shareholders. We have had meaningfully up and down years, and through all cycles, our diversified platform has demonstrated strength and resiliency to yield meaningful returns for our business and our shareholders, including in previous down-market cycles. We are and will continue to be opportunistic. As I mentioned, we made several strategic acquisitions this past year to bolster our platform with additional uncorrelated sources of steady revenue and to enhance capabilities where we see opportunities for longer-term growth. These additions include Targus, which has already contributed meaningful growth in our results; BullsEye Telecom and Lingo, which have enhanced the cash flows generated by our Communications segment; and FocalPoint, which has expanded our M&A, debt and restructuring advisory capabilities as part of B. Riley Securities. In addition, we added to our receivables portfolio. This has been a great investment that continues to perform with double-digit rates of return. Since our unlevered purchase of the first portfolio for $400 million, and as of yesterday, we have recovered approximately $395 million of cash and have an incremental $154 million of current receivables. We typically recover 78% of our receivables per month. The second portfolio that we purchased in partnership with Pathlight Capital is performing in line with our expectations, and we expect to have an IRR in excess of 40%. Speaking to our corporate loan portfolio, at year-end, we had 12 loans with a total sales value of $384 million. This excludes our Badcock loan receivable portfolio and a few loans under $1 million of fair value. Approximately 95% of our loan portfolio at fair value was represented by secured loans. As a general view, we believe that our loan portfolio, which is almost entirely fair valued by an outside valuation firm, provides a very attractive risk-adjusted return potential for us over the course of the year. We have received a number of calls on this portfolio, so I will outline a few highlights of our loan portfolio activity for 2022 and including activity thus far for 2023. We received a total paydown by [indiscernible] of that $41 million loan. We received a $50 million paydown of our Cadiz loan. We received an $11 million pay down of our Excel loan. The last loan I will update is our Core Scientific loan. We provided Core with a $42 million loan against future equity sales, which now is an unsecured claim in the bankruptcy. We also provided a $70 million dip of which $35 million has been funded in order to have a greater seat at the table during the bankruptcy. At the time, our $42 million loan was marked to less than $8 million, which is reflected in our 2022 results. And since that time, Bitcoin has risen from $16,500 to $24,000, and power costs consisting of mostly natural gas has declined meaningfully. We will continue to utilize our balance sheet to facilitate opportunities for our clients and provide strong returns for our constituents. In summary, we like where we sit heading into 2023 from an earnings power, liquidity and opportunity perspective. And we will continue to keep our heads down to perform for our colleagues, our clients, our partners and our shareholders. With that, I'll turn the call over to Phil Ahn, our CFO and COO, to discuss key financial metrics for the quarter. Then Tom Kelleher, our Co-CEO, will discuss results from our business segments before we open up for questions. Over to you, Phil.
Phil Ahn : Thanks, Bryant. For the fourth quarter ending December 31, 2022, B. Riley reported total revenues of $327 million, down from $422 million in Q4 2021. Net loss available to common shareholders was $59 million or $2.08 diluted loss per share compared to net income of $62 million or $2.08 diluted earnings per share in the prior year period. This loss primarily reflects investment losses of $124 million, representing mark-to-market declines in our investment portfolio. Excluding the marks on our investments, operating revenues increased to $450 million for the quarter, up from $353 million in Q4 of 2021. Operating adjusted EBITDA of $102 million compared to $106 million in the prior year period. For the full year ended December 31, 2022, total revenues were $915 million, down from $1.7 billion from the prior year. Net loss available to common shareholders of $168 million or $5.95 diluted loss per share compared to net income of $438 million or $15.09 diluted earnings per share in 2021. Investment loss of $404 million for the year compared to investment gains of $387 million in 2021. Again, the loss was primarily due to the impact of the broad market declines throughout 2022, and its related impact on expense that we hold. Operating revenues for the year were $1.3 billion, which was relatively flat compared to 2021 despite softness in small cap markets and a decrease in investment banking and underwriting fees throughout 2022. Operating adjusted EBITDA was $366 million, down from $422 million for the prior year period. As a reminder, adjusted EBITDA and our metrics for operating and investment results are non-GAAP financial measures. Please refer to our earnings release for a definition of these terms and for a reconciliation to the nearest GAAP measures. Investors can also find additional details relating to these metrics and related reconciliations in the financial supplement on our Investor Relations website. Now turning to highlights from our balance sheet. As of December 31, we had $269 million in unrestricted cash and cash equivalents, $1.1 billion in net securities and other investments owned and $702 million in loans receivables. Of this total, loans on nonaccrual accounted for approximately $7 million of our total fair value. At year-end, we had a total cash and investment balance of approximately $2.1 billion, which includes approximately $54 million of other investments reported in prepaid and other assets. Total debt as of December 31 was approximately $2.4 billion. This includes $1.7 billion of senior notes, approximately $700 million of senior loans and $25 million in notes payable at year-end. We remain in compliance with all of our debt covenants and specifically with regards to our [Numera] debt facility covenants, the net asset value related to our primary guarantor was in excess of $2 billion at year-end. As a result of recent additions to our platform, we have realigned our segment reporting structure to reflect organizational changes at B. Riley. The new Consumer segment includes our previously reported Brands segment, which historically represented licensing revenues from our 6 brands portfolio, and Targus, which we acquired in the fourth quarter of 2022. The Consumer segment also includes revenues from our equity investments in Hurley and Justice brands, which were previously reported in the Capital Markets segment. We have also realigned our previously reported Principal Investments Communications and Other segment into 2 separate segments: a Communications segment and an All Other segment. The Communications segment includes our legacy United Online and magicJack businesses in addition to Marconi Wireless, Lingo and BullsEye Telecom. The All Other segment consists of opportunistic acquisitions and sectors unrelated to the above described segments. And finally, our regular quarterly dividend of $1 per share will be paid on or about March 23 to common stockholders of record as of March 10. That completes my financial summary, and now I'll turn the call over to our Co-CEO, Tom Kelleher, to provide highlights from our business divisions. Tom?
Tom Kelleher : Thanks, Phil. Over the past year, we helped clients navigate challenging markets to raise capital in a liquidity restrained environment and execute on their strategic business initiatives. At the same time, we continue to grow our platform while making enhancements to strengthen our position long term, both organically and through acquisitions. Excluding investments, our Capital Markets segment generated operating revenues of $542 million with segment operating income of $232 million for the year, reflecting lower levels of investment banking and underwriting activity. Our securities lending business continues to demonstrate resiliency amid a softer capital markets environment. After a challenging year, we realized a meaningful improvement in our Capital Markets business during the fourth quarter that has us optimistic for 2023. Underwriting, ATM and banking advisory activities within B. Riley Securities all increased sequentially compared to Q3 with notable deals completed during the quarter, including a $75 million equity follow-on for AST SpaceMobile, $125 million combined debt and equity raise for [Arrow Health], a $119 million follow-on offering for [indiscernible], along with several notable sell-side transactions, including the sale of [indiscernible] juices as well as the sale of a [indiscernible] brand to [PNG]. While many issuers have opted to wait for a more accommodating market environment, we are proud to have been nimble and aggressive in helping clients opportunistically seize windows to raise capital as evidenced by our role as sole book running manager in Bed Bath & Beyond's public equity raise earlier in the month. In our B. Riley Asset Management business, 272 Capital has maintained its performance as a top equity long short fund worldwide while adding assets and growing our institutional base. Assets under management for the business increased substantially year-over-year to $330 million as of December 31, 2022. Turning to Wealth Management. Revenues for this segment totaled $234 million for the year, down from $382 million in 2021. The year-over-year decrease is primarily related to our strategic realignment of this division following our acquisition of National in the first quarter of 2021 as well as reduced client activity due to the market headwinds through 2022. As part of our realignment in this business, we exited a significant amount of producing registered representatives to give us the balance we sought for the business. And today, more than half of our wealth revenues are on a reoccurring basis. As fixed costs for this division continues to trend down, we expect to realize additional annual savings as vendor contracts roll off in the coming years. As we look ahead, we continue to invest in growing this business organically and recruiting quality advisers to our platform. Assets under management were more than $23 billion at December 31. In our Financial Consulting segment, revenues totaled $99 million for the year with segment income of $16 million for the year related to B. Riley Advisory Services and B. Riley Real Estate. During 2022, we achieved record appraisal revenue levels, expanded our Forensic and Litigation Services division and realized year-over-year revenue growth of [44%] in our Real Estate division, which we established in 2020. This segment continues to steadily perform as a source of stable revenues and profits to our platform, and we continue to explore opportunities to grow this division. To that end, earlier today, we announced our acquisition of the Corporate division of Farber Group, which is a Toronto-based restructuring and business advisory firm that our legacy GlassRatner team has collaborated with on cross-border engagements for over 15 years. This acquisition has 45 professionals and enhances our suite of advisory services. In addition to restructuring and turnaround management, Farber brings specialized expertise in human capital consulting, interim management and executive search services. This added capability supports our role when we are appointed as interim CEO, CFO or CRO for clients navigating a restructuring and in-sourcing executive talent for our clients, whether for growth or distressed situations. This addition also extends our appraisal, valuation, litigation and forensic services to Farber's clients and provides the foundation with which to expand our capabilities in Canada. We look forward to growing our collective foothold across the North American market together. In addition, we have established a new field examination practice to complement services we provide to lenders, private equity firms and company borrowers. Our field exam practice strengthens our in-house capabilities and offers incremental value to our clients as a service that can be performed in conjunction with an appraisal for a more streamlined process in valuing collateral. This new practice is led by a veteran valuation expert, who joined us at the end of last year. We are really excited about the opportunity to grow this vertical within our Appraisal division. In our Auction and Liquidation segment, revenues increased to $74 million for the year driven by an increase in retail liquidation assignments with legacy and repeat clients in the U.S. during the quarter and 2 large European projects, which added sizable profits in December. Rising interest rates, rising labor rates and past supply chain disruptions are all adding to retail distress and disruptions. As financial pressure continues to mount for retailers, we are starting to see positive momentum for liquidations and are optimistic about the distressed retail market going into 2023. Turning to our Communications segment with recent enhancements. Our Communications segment revenues increased over 150% to $236 million for the year and generated segment income of $30 million in 2022. In 2021, this segment primarily consists of United Online and magicJack, which we acquired in 2016 and 2018, respectively. Since then, we have added Marconi Wireless in the fourth quarter of 2021, completed the acquisition of Lingo in the second quarter of 2022 and acquired BullsEye Telecom in the third quarter of 2022. We acquired all of these companies on a cost basis, in line with our investment thesis and stated strategy to maximize cash flows to our platform. Importantly, each of these businesses continue to perform ahead of our investment ROI goal to generate cash flow for the firm. Finally, our Consumer segment revenues increased to $171 million with segment income of $96 million for the year. The significant increase was primarily due to acquisition of Targus in the fourth quarter of 2022. This segment also includes our investment in the Hurley and Justice brands and dividend income received from those investments, which totaled $28 million for the year as well as revenues related to the licensing of trademarks for our 6 brands portfolio. We have a world-class team of colleagues across B. Riley, who have the industry credentials and awards to rival the best in their fields. The dedication and support of teams continues to be paramount to both our and our clients' collective success. We appreciate integration is a big lift and requires flexibility from all our teams, both new and old. And our colleagues continue to bring complete focus and dedication. Our people are the most valuable asset we have, and we are humbled by the high caliber of professionals who represent B. Riley brand in the market every day. With that, we will now open the line for questions and then turn it back over to Bryant for closing remarks. Thanks.
Operator: [Operator Instructions] Our first question comes from Sean at Charles Lane Capital.
Sean Haydon: Congratulations on the quarter and thanks for finding a better dialing this quarter. That was a pleasant surprised. Quick question on Farber. It seems like you guys have been building out capabilities for the past couple of years. But this one you're expanding geographically. Can you just kind of discuss your vision there and if that's something you're finding up pursuing going forward?
Bryant Riley: Sure. Sean, it's Brian. So we're -- there's 2 ways to kind of look through acquisitions. There's strategic, and there's opportunistic. And so Farber was an opportunistic acquisition of a group of people that Ian Ratner, who runs that business is known for a long time, he actually happens to be from Canada but was very familiar with that group. And we found an opportunity to acquire them and add on not only capabilities but also geographical opportunities. And so I don't know that we weren't looking to be into Canada. We weren't looking to go to a certain region. I think it was a great fit for them. They saw the benefits that GlassRatner got. I mean, when GlassRatner joined our firm, I think their ability to price went up meaningfully, the jobs that they did from referrals went up meaningfully, and that was part of the sales pitch to Farber. So we're really excited. I think that's a group that -- it's -- they're as excited to be here as we're excited to have them. It wasn't an acquisition that we ran and chased and had a bake off. It was just a really good fit. So we'll take those opportunities as they come.
Sean Haydon: Great. I mean, just on that note, like does it come with any kind of like expediting of entry into Canadian market for your other businesses? Or is this just kind of separate from all that?
Bryant Riley: I don't know, TK, do you have any thoughts on that? I would say that we have been mostly domestic and to the extent if we're able to utilize those relationships, whether it's capital markets or lending or whatever. But I will tell you, that's not why we did it. We did it because of the people that are coming. So I wouldn't suggest that we said, boy, this -- if we cross-sell our products in Canada, it would be a multiplier effect, although we absolutely will try. I don't know, Tom, anything you would add?
Tom Kelleher: Yes, I would just add, it's an opportunity. So the base business, the front accounting and shareholder litigation support restructuring, that's light up [indiscernible]. But there's a executive search piece, there's some wealth management, some M&A expertise. So again, not a reason why we acquired it. But yes, it gives us all the opportunity to scale from what they've already put together.
Sean Haydon: Got it. Okay. That makes sense. And then I know you've done this in the past, but could you just remind us the recurring EBITDA and kind of where that settles for the year?
Bryant Riley: Sure. So I'll be super specific on the overall numbers then get into weeds a bit. But -- so for 2022, as we define recurring was about $325 million of operating EBITDA. And to put that in perspective, we need about $310 million to pay everything, including our dividend and overhead and everything. So to be able to pay for all of our -- all of that with our recurring EBITDA and have 2 other businesses that can generate outsized returns, I feel like that puts us in a really good place. When I look out to 2023, we had a big benefit from Badcock receivables in 2022 that we have to replace some. And -- but we didn't get the benefit of a full year of Targus, and we didn't have the benefit of a full year of Lingo and BullsEye, which kind of makes up for those other -- for that Badcock receivable side. So I would say when I look at my kind of run rate estimate of recurring and my upside estimate, my run rate is somewhere in the low 300s and my upside's in the high 300s. So I think we're doing well. And all those businesses -- none of those businesses require a lot of CapEx. They are cash flow generative. So I really like where we're sitting. And if capital markets comes back or if liquidation comes back, I mean, you've seen that -- you've been a shareholder for a while. You can see how those -- those are [indiscernible] at the same time how powerful it can be.
Operator: Our next question comes from Paul at Punch & Associates.
Paul Dwyer: A couple of questions for you. First, on the loan book. I appreciate you guys tackling things head on here. And given the attention this attracted, could you spend a little more time just talking about the underwriting process with the loan portfolio specifically and how you think about rates as well as how the loan book can fit with the rest of the business strategically?
Bryant Riley: Sure. So in general, for us to provide a loan, we have to think of it as enhancing our relationship, whether it's a corporate relationship where we can create incremental opportunities to create fees or we own part of the equity or whatever. And so -- so that -- those opportunities cut pretty fast. We have 5 people, I think you may have -- maybe you haven't, but we have 5 people in our Principal Investment Group that do a deeper underwriting. We have -- we often will bring in people from GlassRatner on Badcock receivables piece of our business. We get -- that is run by a guy who has receivable expertise for years and years. On the restructuring side, we've got [indiscernible] runs our restructuring business, we'll dive in, and it's diving into core. And we have a risk management team. And so there's an investment group that works through all of those opportunities and tries to figure out the right rate and size. And typically, when we're doing something, we are a bridge. So we are going to be somebody that you're going to want to replace if you can. So for example, a great example of that would be [indiscernible], where we helped that company make an acquisition. That stock after that acquisition went from 11 to 16 because I think people saw the merit of it. They -- when they -- they needed $120 million to do that. We provided them a combination of equity, of debt that became baby bonds and senior secured. And so that package, which I think we're uniquely positioned to do, not only because of our wealth management group but also because we're willing to take a merchant banking approach created that opportunity for them, we own a chunk of the equity, which we did really well on. We own right now $70 million of senior secured paper, which sits on top of a $600 million market cap that is at a high rate, and I think they will probably replace that by the end of March. And we own $10 million of baby bonds. And so -- and for all of that, the fee opportunity there was great, and the client was super happy. And if we can put all of those pieces together, that's -- I think that differentiates us in a meaningful way. So that's a general theme. If we're going to have our troubles, I think it's going to be something that really catches us -- something super dramatic, I would call for pretty dramatic. I mean, the commodity that core serves went from 45,000 to 16,000 pretty quickly. I mean, we did -- we wouldn't put on a loan [indiscernible] commodity not hedge it a bit. So I think the pace number you're seeing on the loan was offset a little. But yes, that one, we're going to get -- I don't think you can do as -- put as much money to work as we do and not get caught once in a while, but I think we're going to work out of that situation a lot better than I thought before. So anything -- how else can I address that, Paul?
Paul Dwyer: No, that's perfect. I appreciate you reaping on that a bit. And like I said, tackling it head on in the prepared remarks. That's good. On Wealth Management, can you just spend a little more time talking about what, I guess, the amount of time you think it will take to get that business to the level of profitability that you were thinking about initially?
Bryant Riley: So I think if I were to grade myself over the last 5 years on being right around what businesses and whether we're positioned, I'd give myself a pretty good grade. This one, I have not done great. I think I've felt like we were going to get more profitable quicker. We made a decision in that business to shrink it, really dedicate ourselves, our service, our capital to what we thought were the highest and most productive wealth managers. And I think we're super close. I think I said that to you last year. Obviously, they do rely on some syndicates. Syndicate was off. But I think if you look at this year, I think we'll be profitable. When I look at my recurring piece of that business, and I've always bucketed them recurring, I probably shouldn't. It's not big enough to think too much about, but I've got something that's all the way from negative 2 to positive 10. But I think we're there. I think we are at a spot where we are very close to profitable without any incremental syndicate business. So -- and I think the quality and the partnership we have with the Wealth Management Group that's with us is a lot better. Smaller but a lot better. TK -- Tom, anything you want to add there?
Tom Kelleher: No. I guess I would just say, look, it's been a tremendous amount of work. You've got 2 large groups of people that do things -- the same thing completely different. So just managing and working through all the operational headaches that come with combining companies is substantively behind us. That was a big part of last year and the year before. So it just -- it takes time. As Bryant mentioned, really excited where we sit because that's basically behind us. And rather than looking in the rearview mirror, now we can look forward and really try to figure out how to grow and scale and build the business as opposed to merging them.
Paul Dwyer: Okay. Perfect. On Targus, could you just spend a little bit time on how that's getting integrated? And how they're managing through -- I believe most of their companies or clients are corporate. So just kind of how they're managing through this choppy labor environment.
Bryant Riley: Yes. So the beauty of Targus, and just bear with me if I can give you a little background because I think it's relevant. I had worked with Mikel Williams, who is the CEO of DDI. I don't know if you remember that public company, printed circuit board. And I had actually become -- was an activist. I became the Chairman. And Mikel was literally -- I mean I think he was just an amazing CEO. We ended up selling that business for a big number. I asked him to join the Board because I thought he was incredibly smart, and I thought he would be incredibly helpful. So he joined the Board. And during the probably 7 years he was on the Board, he did -- we sold one public company, and then he was at Targus. And he turned Targus from what was an overleveraged bankrupt company to a business that have recapped dividends out to the shareholders and had no debt and was generating $50 million, mid-$50 million in EBITDA. And so I had said to him as when you want -- often your best investments or people you invest with before I said, if you ever want to roll your equity in that business, we'd love to hear about that because it kind of fits us. It's a low CapEx, high cash flow business and with a great operator. So that happened. That business last year to mid-50s EBITDA but had freight costs that were punishable as much as like $15 million, $20 million. So I think when we underwrote that business, we assume that the business would be off 20%, 25%, but the freight savings would offset that. And so we underwrote it to in between $50 million and $60 million. If I were a betting man right now, I'd say it'd be closer to the $50 million than the $60 million. We definitely -- there's -- the channels are full. But we're in it for not a month or 2 months, and we think we have a great operator. We're going to look at other opportunities to have add-on products. We think it's a great platform, and the integration is easy. I mean, we've got a guy that we have a ton of respect for that's been running it himself, reporting himself, themselves as a company. So that's part of the integration. We don't -- that was an opportunistic purchase that we will only try and enhance in any way we can, but we'll rely on the current management team.
Paul Dwyer: Okay. Great. And just pulling on that thread a little bit. Where are you looking to allocate capital either strategically? I guess it's harder to predict the opportunistic ones. But where do you want to put your incremental dollars in 2023?
Bryant Riley: So I mean, not the -- risk of being controversial, we think that bridge loans to public companies where we can utilize whether it's our relationships on the institutional side, our ability to provide different types of loans, whether it's asset-backed or otherwise our -- one of the smartest things we did is we sold a lot of baby bonds at yields of 5.5% and 6%. And our job is obviously to pay those back, which we will. But in the meantime, we've got a 4-year runway of a very low cost of capital. So if we can -- when I look at it right now, if we can utilize our balance sheet to make some really interesting investments, get mid-teens type of returns and also enhance that with maybe a bigger mandate, whether it's sell side or whatever, those opportunities are pretty prime. The -- it's tied out there if you're a public company looking for money quickly, and we think we can be helpful.
Operator: Our next question comes from Thompson at [indiscernible] Economics.
Unidentified Analyst: A lot of my questions have been answered. I saw the net debt for the quarter as net of cash investments went negative. Any target you guys are looking for there? Where do you want to be?
Bryant Riley: Well, I mean, we want to have net cash, but what are we accepting of? Look, if I were to sit here and say, we paid out $580 million to our shareholders. We've also -- I don't know what we bought back in stock. I think those dividends, we also bought back another -- I don't have a number, but a meaningful number. We've -- and we've had some pretty tough marks. I mean, this was a tough year for everybody in the small-cap world, and we are less than 1x levered. And that's a pretty good spot. Like I feel really good about that. And so I don't know. I mean, I don't -- I think we could be 2.5, 3x levered. I don't think we're going to get there because I think our business is going to earn itself out of that. And I think our portfolio is at a kind of at a discount. But I think a business like ours has got a meaningful piece of recurring that doesn't have a lot of CapEx and working capital needs associated. They could lever up some more, but we just have to be cognizant that we've got some volatile businesses. If you look at the B. Riley Securities business in the last 3 years, you had operating EBITDA of 138, 264 and 27. I mean, that's a -- that is what it is. I'm really pleased we made money. A lot of people grew during 2021 and lifted their overhead, and we were pretty careful. But that's a tough thing to manage, and we always manage for the downside. And when I do those numbers and when I do that 1x leverage, that's managing for the downside in the brokerage business, and that business can turn meaningfully. And if it does, I think we're really well positioned. I mean, the markets open up in November, sub $1 billion nonhealth care deals. I think -- I don't know how many there were, but we did 5 and the next person did 2. And all of those are up, and I think there were opportunistic deals. So I like our balance sheet. I like -- I don't sweat our net debt. We could have more, but we're going to be really -- we're going to be cautious. And again, Tom, just realize that of our debt that comes due, over $1.2 billion doesn't come due to the end of '26 and going into '28. So we've got a long runway to make a lot of money on those spreads. So we feel like we're in a pretty good position.
Unidentified Analyst: Great. Yes, super helpful. And then looking at the loans receivable for the end of the year, $700 million. Can you just break down a little bit, you or Phil, break down a little bit, kind of what's in there. We've got Badcock, and we got Babcock. Can you kind of get through those? And then any other big ones?
Bryant Riley: So Phil, I think you break it up between Badcock and -- and I think there's some notable ones that are out there. Some of our loans are related to -- we'll provide margin services for customers with large share amount. It's kind of all over the place. So obviously, I wouldn't mention those people by name. But we have loans all over. And the average loan is $32 million. Is it $32 million? Is that what we said, Phil?
Phil Ahn: Yes. Excluding Badcock, average fair value per name is roughly $32 million.
Bryant Riley: Across 13 names. And the duration of those should be less than a year. They should be 3 to 6 months. Our goal is to provide a bridge loan and help a client out and let them get to a more -- a lender that's going to be longer term, doesn't have the same kind of capital returns that we would require. But we're helping them get a deal done.
Unidentified Analyst: Okay. Great. And then in that total cash investments, the private equity, about $394 million. Any color there? What's in there?
Bryant Riley: I don't know, Phil, do you want to walk through that a little bit?
Phil Ahn: Sorry. Let me just probably pull through a couple of things here.
Bryant Riley: I'll give you a few examples. We have a VC portfolio that we brought on a VC team 3 years ago. We utilized that group to find proprietary investments for our Wealth Management Group. Average investment in that is probably $7 million. The average banking fee associated with those has been probably 10% of the invested capital, and we utilize that to enhance our banking fees. We have opportunistically purchased a few energy assets that we saw and we were uniquely positioned for that have done okay. And so that's part of that. We have our -- is our brands in that private equity side, Phil?
Phil Ahn: [indiscernible].
Operator: Our next question comes from Keith at Cruiser Capital Advisors.
Keith Rosenbloom: Bryant, could you elaborate a little bit on the operating earnings that you've guided to the non-episodic operating earnings. Does that -- I think you said $324 million? Does that include a full year of Targus? Or is Targus additive to that?
Bryant Riley: Targus contributed about, this is rough, $11 million for the year. We acquired that in mid-October. Maybe 12.
Keith Rosenbloom: So if we were to run rate that for next year, it would be --
Bryant Riley: What I would say is I don't think we're going to find -- so we've freed up a lot at $400 million over the course of 14 months on Badcock. And as I mentioned in the call, we still have $157 million receivables. We think that -- it says double. We think that return will be -- IRRs will be 25% to 30%. That money is being put back to work in other opportunities. I don't think it's going to be put back to work at the kind of -- those kind of IRRs. So the contribution for Badcock, it comes in a bit to offset maybe some of that Targus. But the Lingo -- and the Lingo and the BullsEye kind of the small telecom business that we have, they only contributed in 2022 $9 million -- $10 million Lingo and BullsEye, which is an acquisition we made together. And I have them contributing closer to 25 in 2023. So they didn't contribute for the whole year either. So there's definitely -- the run rate is higher than the 2022 average, I would just say, Badcock would be the most meaningful detractor.
Keith Rosenbloom: Okay. So the -- okay. And then on the Babcock & Wilcox receivables themselves, one of the --
Bryant Riley: This is Badcock Furniture.
Keith Rosenbloom: I understand. But I'm talking about the receivables to Babcock & Wilcox, sorry, just clarifying. One of the elements of the short report was questioning the caliber or quality of those receivables for the loan. And what has been the overall, I guess, default rate? How would you categorize the quality of the loan?
Bryant Riley: So I think we're mixing 2 things. I think the criticism was on our backstopping of LCs for Babcock & Wilcox. We backstopped for a relatively low rate, about $100 million of LCs. That Babcock, we're a big shareholder, and we're a partner of theirs. We didn't put up any of the money. We just backstopped it. So there was a question of why we did that for a low rate. Babcock & Wilcox has not walked away from an LC in 20-plus years. Their business was -- took off as COVID started to clear up, and they just needed help in financing LCs. I view that as noncontroversial and 0 risk. Badcock is the receivable package that we bought for 400, where the underwriting of that so you understand is that we bought 500 -- we bought those at 75 cents on the dollar. So we bought roughly 500. And I'm doing this all from memory, but somewhere around $530 million of receivables. Obviously, there's an interest rate associated with the receivables. There's insurance associated with the receivables. And so charge-offs are a meaningful portion. It is a customer that is a FICO score customer, but that's how it's priced. And so the net-net of that, which I think is the most important part because you can -- the write-ups are somewhat irrelevant is that we invested $400 million. We have gotten back $396 million. We have $156 million of receivables that are in good standing, and we've written off a rough $95 million of receivables, which we think will recover 5% to 10%. So if you mix all of that up, you get a total return of IRRs of 25% to 30%. Of that $156 million that we still have, we'll probably recover 65% to 70%, and we'll recover 5% to 10% a year of the charge-offs. So it's been a great investment. I mean, we got -- we start -- we get our money back every month. We get every -- like our initial receivables every month, we get 8% to 9% back. So when we started with $520 million in that first month, we got back $40 million. So it's been a great place during a very difficult market to have an unlevered portfolio that's generating a bunch of cash for us. And it's like -- it sounds like we put money in the piggy bank in 2021. At a decent time, we had sold some equities to do that, and it's coming back. That $400 million we put in the piggy bank's coming back close to 530.
Keith Rosenbloom: Got it.
Bryant Riley: That's the nature of the -- so that's the nature of the receivables. So I don't really -- that's Badcock's business.
Operator: Our next question comes from Keith with Cruiser -- pardon me. Our next question comes from Steve with [indiscernible] Strategic Advisors.
Unidentified Analyst: Congrats on the adjusted operating EBITDA in a tough environment.
Bryant Riley: Thanks, Steve.
Unidentified Analyst: Maybe just staying on the high level here. So in '20 and '21, well, I guess going back, you guys have never had over $100 million of net cash from operations. And with interest expense now over $175 million annual rate and negative tangible book value, when you think of the dividend, what do you think of the funding model for this dividend? What's going to be the source to fund this? Because obviously, you have the cash available to pay it down, but I guess just the sustainable funding of the dividend.
Bryant Riley: Yes. So I feel like you're -- so as I mentioned in 2022, our recurring EBITDA funded our dividend, funded our taxes and funded our overhead. So that number, which is $310 million, was funded by $324 million of what we define as recurring EBITDA. So that's how we're funding the dividend. And then you have 2 other businesses. Yes, we didn't do $100 million in cash flow. Well, we've grown our business from a brokerage business that started with 10 people that did over $200 million in EBITDA. So that business is going to be up and down, but it's -- we [indiscernible] money in that business and for more than a month like in 4 years. So we'll make money in that business, and that will be incremental cash flow.
Unidentified Analyst: Got it. Okay. And then thinking of that core capital market service and fee, so it's been the $65 million to $70 million run rate on that line. The third quarter had $42 million of incentive fees. Just remind me if that was cash or noncash, what drove those? And if that number is in that adjusted EBITDA and if that's in --
Bryant Riley: We talk about the PRSUs there?
Unidentified Analyst: There was $42 million of incentive fees in the third quarter Q I saw, and that is what lifted that line from the $65 million to $70 million run rate up. And I just want to know what was that incentive fee. Was it cash, noncash and what we can expect and if that was in the $310 million of EBITDA you called out?
Bryant Riley: It wasn't in the $310 million EBITDA because we don't have any incentive fees. And that, Phil, can you respond to that?
Phil Ahn: Yes. I think we're going to -- you know what? Why don't -- Steve, why don't we follow up with you? I'm not sure exactly the incentive fee you're referring to there.
Unidentified Analyst: Okay. All right. Great. Yes. It’s just in the third quarter Q, but it’s better to go through that in more detail later, I’m happy to do that.
Operator: This concludes our question-and-answer session. I'd now like to turn the call back to Mr. Riley for his closing remarks.
Bryant Riley : Okay. Well, thank you. Thank you, everyone. I saw 480 people on this call, which I think is a record. I think a lot of people work at the firm. They've entrusted their careers with us. We take that with a ton of responsibility. We know that there's been a lot of noise, a lot of inaccuracy floating out there. Hopefully, we addressed it. We think we're incredibly well positioned as we move forward in 2023 as we've kind of laid out on a recurring and episodic side. And we think we have a great runway, and we're very appreciative to everybody that helps us get there. And to our shareholders, we know we're a somewhat difficult story, and we have some ups and downs. But overall, I think we performed, and we're dedicated to continue to perform. So thank you for giving us that opportunity. Thank you, everyone.
Operator: Thank you. Before we conclude today's call, I will provide B. Riley Financial's safe harbor statement, which includes important cautions regarding forward-looking statements made during this call. Statements made during this call that are not descriptions of historical facts are forward-looking statements that are not on management's current expectations and assumptions and are subject to risks and uncertainties. If such risks or uncertainties materialize or such assumptions prove incorrect, our business, operating results, financial condition and stock price could be materially negatively affected. You should not place undue reliance on such forward-looking statements, which are based on the information currently available to us and speak only as of today's date. Such forward-looking statements include, but are not limited to, statements regarding our excitement and the expected growth of our business segments. Factors that could cause such actual results to differ materially from those contemplated or implied by such forward-looking statements include, without limitations, the risks described from time to time in B. Riley Financial, Inc. periodic filings with the SEC, including, without limitation, the risks described in B. Riley Financial, Inc.'s annual report on Form 10-K for the year ended December 31, 2021, and in our quarterly reports on Form 10-Q for the quarters ended March 31, June 30, September 30, 2022 under the captions risk factors and management's discussion and analytics of financial condition and results of operations as applicable. Additional information will be set forth in our annual report on Form 10-K for the year ended December 31, 2022. These factors should be considered carefully, and participants are cautioned not to place undue reliance on such forward-looking statements. All information is current as of today's call, and B. Riley Financial undertakes no duty to update this information. Thank you for joining us today for B. Riley Financial's fourth quarter and full year 2022 earnings conference call. You may now disconnect.